Presentation:
Operator: Good afternoon and welcome to the 2016 Q2 Customers Bancorp Incorporated Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the call over to Joe Noyons. Please go ahead, sir.
Joe Noyons: Thank you, Renee and good afternoon everyone. Welcome to Customers Bancorp’s second quarter 2016 earnings conference call. Our earnings release was issued today after the close and is posted on the company’s website at www.customersbank.com. Representing the company today are Jay Sidhu, Chairman and Chief Executive Officer; Bob Wahlman, Chief Financial Officer; and Dick Ehst, President and Chief Operating Officer. Before we begin, we would like to remind you that some of the statements we make today maybe considered forward-looking. These forward-looking statements are subject to a number of risks and uncertainties that may cause the actual performance results to differ materially, including the risks that the results are different than currently anticipated. Please note that these forward-looking statements speak only as of the date of this presentation and we undertake no obligation to update these forward-looking statements in light of new information or future events, except to the extent required by securities laws. Please refer to our SEC filings including our report on Form 10-K and 10-Q for a more detailed description of the risk factors that may affect our results. Copies maybe obtained from the SEC or by visiting the Investor Relations section of our website. At this time, it is my pleasure to introduce Customers Bancorp Chief Executive Officer, Jay Sidhu. Jay, the floor is yours.
Jay Sidhu: Okay, thank you very much, Joe and good afternoon ladies and gentlemen. I too want to welcome you to our second quarter call. As Joe mentioned, joining me over here today is Bob Wahlman, our Chief Financial Officer; Dick Ehst, our President as well as Luvleen Sidhu from our BankMobile division. Dick will be covering asset quality and risk management, while Luvleen will be talking about the BankMobile strategy and Bob and I will cover information about Customers Bancorp Inc. We are really pleased to report record earnings for the second quarter and the first six months of 2016. As you know, customer single point of contact business model in our opinion has delivered through highly experienced professional teams, a very – originations which are very strong of very high quality and these originations in our loan portfolio in our opinion limits our interest rate risk exposures while controlling our operating expenses. And also we completed in this quarter a strategic acquisition of disbursements business from Higher One Holding Inc. On June 15, 2016 and combining this business with our BankMobile division and the platform gives customers over 2.1 million BankMobile serviced millennials and middle income Americans as our customers and potential to add as many as 500,000 new BankMobile customers annually. So, today, we will be discussing with you not just Customers Bancorp’s performance, but also give you some highlights of BankMobile that we had covered with those of you who were able to join us for our Analyst Day. As you know, from a second quarter earnings point of view, we had very strong quarter. Second quarter 2016 diluted earnings per share was up 54% over second quarter of 2015. Our ROA was 84 basis points and return on common equity was 13%. Our pre-tax pre-provision ROA and ROE for second quarter 2016 were 1.44% ROA pre-tax and 23.4% pre-tax pre-prevision return on common equity. Our second quarter net income of $17.5 million approximately was about 57% over that of second quarter 2015. Very important for us is the growth of our core deposits. And our non-demand deposits since 2009 have grown by about 71% and I am pleased to share with you that between just towards the end of the year or rather in the first six months of this year, our demand deposits grew by another – greater than 20%. So, we continue to see very strong improvement in our deposit growth which is very important for us. The margin in the second quarter was 2.83% and the second quarter efficiency ratio was 53.4% and that included all the BankMobile and all the Higher One disbursement business expenses and without some of these expenses are margins. Our efficiency ratio was actually about 49%. From a credit quality point of view, which Dick will be going over later on in more detail, we only had 17 basis points non-performing loans at June 30 and our reserves were actually 470% of our loans once we exclude our loans held for sale which happens to be our fully performing mortgage warehouse loans. So, at this time, I would like to hand it over to Bob Wahlman to go over the financial results in a lot more detail.
Bob Wahlman: Thank you, Jay and good afternoon everyone and thank you for joining our call. As Jay noted in his comments, Customers’ management is pleased with the second quarter of 2016 operating results reporting net income of $17.4 million or $0.60 per share for the quarter. That compares with $11 million or $0.41 per share for Q2 2015 in a quarter-over-quarter comparison, an increase in earnings of approximately 50%. The Q2 2015 results did include a one-time $6 million provision for loan losses related to a fraudulent loan identified in the second quarter of last year, which decreased Q2 2015 by over $0.09 a share. The Q2 2016 results includes headwinds of $2.7 million for acquisition-related transaction costs, an effective tax rate true-up for 2016 and a negative run-rate for the disbursements business post the June 15, 2015 acquisition and I will cover that in a little bit more detail later. Customers’ increase in earnings quarter-over-quarter is primarily the result of the increase in interest income driven by the growth in the loan balances. Average loan balances increased by approximately $2.1 billion Q2 2016 over Q2 2015 to $8.1 billion. By product, the average balance has increased for C&I loans, which includes owner-occupied CRE loans that excludes mortgage warehouse loans, so $546 million for the commercial excluding the mortgage warehouse portfolio. Mortgage warehouse loans increased $425 million average balance quarter-over-quarter and multi-family loans were up $1.2 billion quarter-over-quarter average balances. Customers also benefited from an increase in its net interest margin. Regarding the asset yields, the loan portfolio yield was 3.92% and 2 basis points higher for their held-for-sale investment portfolio in the second quarter this year as opposed to last year and was 21 basis points higher for the held-for-sale mortgage loan warehouse portfolio at 3.41% in Q2 2016 compared to Q2 2015. So, our yields on our loan assets, was actually up year-over-year. On the funding side, average deposit balances were up $1.5 billion to $5.8 billion and borrowings were up $0.5 billion to $2.0 billion Q2 2016 over Q2 2015. Average non-interest demand deposits were up $90 million. Average money market deposits were up $750 million. And average certificates of deposits were up $600 million. Regarding yields, we did see an increase in deposit costs which were up 4 basis points overall and borrowing costs which were up 8 basis points for a total mix increase of the cost of funding of 5 basis points. With an asset yield increase of 15 basis points exceeding the cost of funding increase of 5 basis points, Customers’ increased Q2 2016 income is also in part attributable to that increased interest margin. Of that approximately 10 basis point higher net interest margin, approximately 6 basis points is attributable to higher prepayment fees in Q2 2016. A key component of Customers’ overall strategy and Dick will be talking quite a bit about this later and a key element of Customers’ approach to managing key risk of strong underwriting standards and strong asset quality. Customer continues to maintain that outstanding asset quality. Non-performing loans in total were $14.6 million or just 17 basis points of total loans compared to 16 basis points of total loans as of last year. Of that June 30, 2016 amount of $14.6 million, $8 million relate – or so well over half of those loans related to legacy loan portfolios that we acquired back in the 2009, 2010 and are not subject – were not subject to the same underwriting standards as our post-2009 self originated loans. The provision for loan loss is expense in Q2 2016 included $2 million in provisions for asset growth offset by $1.2 million or offset in part by $1.2 million due to increased estimates in cash flows to be received related to loan portfolios purchased at a discount so the old SOP 03-3 loans and upon reaching agreement with the FDIC to terminate the two transactions – assisted transaction agreements and our change in estimated cash flows as a result. Customers’ also purchased the disbursements business our Higher One Holdings Inc. effective the close of business on June 15. With that closing, Customers’ recognized the revenue and expense of this business for the last two weeks of the quarter and one-time costs associated with that acquisition. Specifically, Customers’ recognized approximately $900,000 of transaction related costs that is included in the Q2 2016 non-interest expenses which were generally from legal accounting and other professional services. Customers estimate that it will incur additional costs of between $8 million and $12 million over the next years related to the disbursement business acquisition. In addition, Customers’ recognized revenues of approximately $2.2 million for interchange and other service fees in the last two weeks and had expenses of $3.2 million for the compensation and other operating costs of the disbursement business. As we discussed at our Analyst Day meeting the acquired disbursement business is a seasonal business with the first and fourth quarters being the most profitable and the second quarter when students are generally not in or many students are not in the school that’s the most challenging period and we just completed that second quarter. Customers’ will disclose this business segment separate from the banking business beginning with the third quarter of 2016 in its Form 10-Q. Other than the described effect of the disbursements business, a little change in net in non-interest income. Regarding non-interest expenses considering the one-time costs that I just noted here related to the disbursements acquisition and considering the one-time reduction in franchise taxes in Q2 2015 we talked about a year ago, non-interest expenses from banking increased approximately $5.5 million Q2 2016 over Q2 2015. Those increased costs relate to a mix of salaries, technology, professional services, occupancy and other administrative costs and other matters that reflect operating a $9.7 billion bank compared to a smaller bank. It is worth noting that, and Jay had noted this already the absent the effect of the disbursements business acquired in Q2 2016 so just that $2 million related to the disbursements business on the expense side – excuse me $4 million related to the expense side Customers’ efficiency ratio would have been 49.3%. On the – unusual item for this time is income taxes for us, so regarding the Q2 2016 income taxes Customers’ reported income tax expense of $13 million on $32.4 million of pretax income and effective tax rate of 40.1%. The higher tax rate results from Customers’ growing business presence in the state of New York and particularly New York City much of a multi-family loan is there, much of our deposit generation is in the New York City area. Customers’ is currently estimating an effective tax rate for 2016 of 38% as opposed to the previously estimated tax rate that was used last year in the first quarter of 35.5%. Q2 2016 effective tax rate of 40% catches us up for using the lower tax rate in Q1 2016 and that catch up in the second quarter was approximately $700,000 added to the Q2 2016 income tax expense. Adding up the pluses and minuses of these unusual items one-time item, operating expenses was up $900,000 for transaction related expenses, taxes were up $700,000 and the disbursements business operating at a net – at a pretax loss of $1 million offset in part by the reduction in the provision expense that I talked about of about $800,000 related for improved cash flow expectations on the termination of the FDIC purchase agreements. So finally, what I want to talk about is capital and Customers’ capital increased $81.3 million in the second quarter of 2016 as a result of a non-cumulative perpetual preferred stock raise of $57.5 million and retained earnings of $16.4 million. Since December 31, 2015, Customers has increased its capital $126.7 million as a result of retained earnings and preferred stock raises. Customers’ capital level continues to exceed the regulatory well capitalized floors in the current Basel III capital requirements for all regulatory capital ratios. Customers’ recognizes that its capital ratios while meeting all the regulatory requirements are stretched and generally below its peers. Customers will continue to evaluate options relative to its capital levels, capital mix, product mix, market conditions and other circumstances in deciding Customers’ optimal capital levels and capital instrument. So next I want to turn you over to Dick Ehst, Customers Bank President and he will discuss loan concentration matters and further dive into asset quality matters with you, so Dick?
Dick Ehst: Thank you very much, Bob. We here at Customers’ focus on our commercial real estate concentration risks and as a consequence of that we of course provide high net worth family loans to their multi-family colleagues. Our loans collateralized by multi-family properties were approximately 39.6% of our total loan portfolio. Recognizing the risks that accompany certain elements of commercial real estate lending we have as part of our core strategy studiously sought to limit its risks. For example, total real estate construction and development exposure arguably the riskiest of all CRE was under $100 million as of June 30. Our current CRE exposures are focused principally on loans to high net worth families, collateralized by multi-family properties that are of modest size and subject to what we believe are conservative underwriting standards. As of June 30, we had no non-performing multi-family loans. We believe we have a strong risk management process to manage the portfolio risks prospectively and that this portfolio will perform well even under a stressed scenario. Here are some unique characteristics of Customers’ multi-family loan portfolio. First, principally concentrated in New York City and principally to high net worth families. Second is our average loan size is between $5 million and $7 million. Third, the annual debt service coverage ratio is about 140%. Our loan to value is 67% on a median basis. All loans are individually stressed with an increase of 1% and 2% to the cap rate and an increase of 1.5% and 3% in interest rates. All properties are inspected by a senior member of the lending team prior to a loan being granted and thereafter monitored on an annual basis by dedicated portfolio managers. We today have never experienced more than a 30-day delinquency on any of the multi-family loans that we have originated. And finally, the credit approval process is bifurcated hence the credit process is independent of the sales, customer sales and portfolio management process. Now insofar as asset quality and interest rate risk is concerned risk management here again is a critical component of how we create long-term shareholder value. Two of the most important risks of banking can be understood and managed in an uncertain economy are asset quality and interest rate risk. We believe that asset quality risks must be diligently addressed during good economic times with prudent underwriting standards so that when the deteriorates the bank’s capital is sufficient it absorb losses without threatening its ability to operate and serve its community and other constituents. We adopted prudent underwriting standards in 2009 when the current management team assumed responsibility for the bank and we have not compromised those standards in the last 6 years. Our non-performing loans as Jay mentioned earlier, as of June 30, we are only 17 bps of total loans compared to our peer group non-performing loans of approximately 95 bps of total loans and the industry average non-performing loans of about 160 bps. Our expectation is superior asset quality performance in good times and in difficult years. Also, we have no direct exposure to oil and gas or business investments and fracking. Interest rate risk is another critical element for banks to manage. An unexpected shift in interest rates can have a devastating effect on a bank’s profitability for many years to come. Banks can position their assets and liabilities to speculate on future interest rate changes with a hope of gaining earnings by guessing the next movement in interest rates. Our objective is to manage the effect – the estimated effect of future interest rate changes up or down to a neutral effect on net interest income, so not to speculate on whether interest rates go up or down. This allows our team members to focus on generating earnings from the business of banking, aggregating deposits and making loans to customers in the communities that we serve. Now, let’s get on to specifics. Again, our total multi-family originated loans were $3.303 billion. We have no non-accruals and we have total credit reserves set aside of $12.368 million. Surpass our commercial and industrial loans which again includes owner occupied commercial real estate total $1.82 billion. We have non-accruals, non-performing loans of $6.605 million of which $4.4 million is one loan and that loan will be resolved before year end. Total credit reserves for commercial and industrial loans totaled $10 million almost $11 million. So the NPLs to total loans for C&I is 0.61% and yet total reserves to total NPLs of C&I is 166.5%. Commercial real estate non-owner occupied loans total $1.93 billion, of which we have set aside total credit reserves as $4.400 million. Our residential portfolio is rather small at $119.5 million. We have one non-accrual loan of $32,000, yet we have total credit reserve set aside for that portfolio of $2.240 million. That results in NPLs of total loans of residential of 0.3% and total reserves to total non-performing loans of over 7,000%. As I mentioned earlier, our total construction loans are roughly $99.4 million of which we have total credit reserve set aside $1.209 million. So as Jay mentioned earlier, our total reserves to total non-performing loans is 470.3%. And now, I would like to turn over the call to Luvleen Sidhu, Chief Strategy Officer of BankMobile. Luvleen?
Luvleen Sidhu: Thank you, Mr. Ehst. What I would like to do is briefly share with you the strategy for BankMobile and what investors should expect from us going forward. We launched BankMobile in January 2015 with a mission to make banking affordable, effortless and financially empowering for millennials, middle income Americans and the under-banked, to provide them with wild memorable experiences and not just sell them products. And most importantly to create happy customers for life and do all this with a strong risk management culture. We launched BankMobile because there was a need in the market that was not being met. Consumer behavior is rapidly changing with U.S. customers now interacting with their banks more through mobile devices than any other channel. On average, customers are visiting bank branches only one to two times a year versus interacting with their bank 20 to 30 times per month on their mobile device. Americans are also frustrated with banking fees with 48% of customers saying they switched banks because of fees. With BankMobile, we have turned traditional banking on its head to provide customers with what they are looking for, a digital banking experience focused on simplicity, best-in-class user experience and customer service and analytics to proactively provide value additive products and services to our customers. We believe the traditional customer acquisition model via branches is gradually becoming obsolete. We estimate that approximately one net new check-in account is opened per branch, per week. This is a very inefficient, costly model and these inefficient branches are being subsidized by about $32 billion in overdraft fees charged to customers each year by banks across America. That’s more than what Americans spend on buying vegetables. At BankMobile, we have eliminated the need for branches and are instead pursuing two strategies. First, direct to consumer through our mobile, tablet and online app. Second, through distribution partnerships and white label banking to reach customers which is our B to B to C strategy. Our first distribution partnership is our relationship with approximately 800 colleges and universities throughout the country. In 1 year, BankMobile has evolved from a start-up investment phase to a shareholder return phase. BankMobile today is one of the top digital banks in the country servicing approximately 2 million check-in accounts likely making us one of the top 25 banks in the country based on number of consumer check-in accounts. We also have a customer acquisition strategy in place whereby we are opening approximately 500,000 new check-in accounts each year. We also expect to breakeven or be slightly profitable by year end 2016. Our future growth opportunities are significant as our student account holders graduate, earn income, look for more financial products and become customers for life because of their positive experience with BankMobile. We believe we have created one of the most successful banking models for serving millennials and middle-income Americans and look forward to continuing to share updates with you. We also expect to monetize our investment in BankMobile over the next 12 months to 24 months creating significant book value accretion for CUBI shareholders. Please review all the information we shared with those of you who were able to attend our Analyst Day in June. All these materials are available on the Customer’s bank website. Now, I would like to hand it over to our CEO.
Jay Sidhu: Okay. Thank you very much, Luvleen. Before we open it up for questions and answers, let me just go over a few other highlights. Number one is what is our model for shareholder value creation? As you all would know, we are an organic revenue growth company that is building a scalable infrastructure. We are shooting for sustainable double-digit earnings per share and hence double-digit growth rate in shareholder value. So as you know, over the last couple of years, we have grown our revenues by 45% since 2011 up until today. Over last year, we have grown revenues from the first – second quarter 2016 to 2000 – second quarter 2015 to 2016 by 35%. Our net interest income over last year as Bob mentioned has gone up by 36%. Our core net income last year to this year has gone up by 68%. So that’s our model. We combine that model then with a very robust risk management driven business strategy that Dick shared with you about credit risk and interest rate risk. As a result of that, we build tangible book value per share and that to us is a very sustainable way to increase shareholder value. We are very disciplined about acquisitions. We believe that if we do any acquisitions, any book value dilution must be overcome within 1 year to 2 years otherwise we are going to stick with our revenue growth to organic growth strategy. Even this acquisition of the disbursement business that we have done, we believe any dilution to our book value through the intangibles of about $5 million to $6 million I guess approximately that we may have created. We believe that, that will be overcome within a 1 to 2 year period if not less. And last but not the least, our model calls for superior execution through a very experienced proven management team that those of you who have attended our Analyst Days have seen the depth of management around the company and we believe that, that’s a very important ingredient to success. Talking about deposits as I shared with you, our demand deposits over the first six months grew by about 25%. Our average DDA growth over the last 5 years has averaged 47%. Our total deposits per branch today are $378 million. As Dick shared with you from a loan quality point of view, we expect no significant changes at all in our loan quality based upon our assessment today and we believe our charge-offs will stay in the very low level of less than 5 to 10 basis points on an average and it was only 1 basis points this quarter. From an efficiency point of view, our efficiency ratio, as measured by total costs first as a percentage of assets, were 1.65%. For Customers Bank itself, excluding BankMobile Technologies, we expect this to remain constant. Including BankMobile Technologies, our efficiency ratios will go up for the time being at least for the next 12 to 24 months max that we expect the BankMobile still should be a part of our company. And but otherwise we believe that the efficiency ratios that we have already achieved in the high 40s should actually get down to closer to mid 40s within the next 2 years or so. Our revenues, our productivity we measure that as revenue per employee and assets per employee. We are significantly better than the industry. The banking industry is at $199,000 revenue per employee. We are at $369,000. Assets per employee in terms of efficiency, we are at $12 million of assets and the rest of the industry is at $5.2 million of assets. Let me comment a little bit on our capital position also in line with what Bob had shared with you. We recognized the importance of not only being well capitalized in the current environment, but also to have adequate capital buffers to absorb any unexpected shocks. We had cautioned everybody that at June 30, our assets were expected because of the mortgage warehouse business to go up by couple of $100 million over the last 2 or 3 days of the quarter and that’s exactly what happened. And that is why our capital ratios look more stressed than even what they are, but we recognized that. So, we want to share with you that we recognized that we would be crossing over the next 2 years or so the $10 billion mark. And we believe that for bank which is greater than $10 billion must have much higher capital buffers than banks below $10 billion. So, we would like to share with you our capital targets that we will achieve before we cross the $10 billion mark and we believe we can achieve these ratios predominantly by managing our asset growth over the next 12 to 24 months and then adding retained earnings and maybe supplementing that with opportunistic capital such as preferred equity like we have raised. Our equity to assets ratio we believe before we crossed the $10 billion mark should be at about 9% level and that would be up from at June 30 of 7% level. We believe our Tier 1 leverage ratio should be also at about 9% level and that at June 30 was also about 7%. We believe our tangible common equity to tangible assets which is important should be at the 7% level before we cross the $10 billion mark and as you know that was close to little over 5.5% at June 30. We believe our Tier 1 risk-based capital ratio should be more like 11% and that was about 8.5% to 8.8% at June 30. We believe our total risk-based capital should be at about 13% and that ratio was about 10.5%, slightly under 10.5% in our estimate at June 30 and we believe our CET1 ratio should be at 8% or higher and that was about 6.8% at June 30. So, you should expect us to manage our growth, take our time, build our capital, build a strong foundation, divest ourselves of BankMobile Technologies, let the shareholders of Customers Bancorp, as Luvleen shared with you enjoy the monetization of our efforts, let BankMobile flourish and we would be a very strong company before we pass the $10 billion mark and we should not be trading at a discount like we are trading today once we show to the marketplace that we are dead serious about having strong capital ratios also. So, as you all know, at middle of July, we were trading at about 10 times 2016 earnings and we had compounded annual growth rate of 18% increase in shareholder value since December 31, 2009 which was the time that we took over the management of this company. We are only trading at 1.3 times our estimated end of the year tangible book value which would be – is expected to be over $20 a share. And we believe that if our peers are trading at 14 times estimated 2016 earnings and 1.7 to 2 times tangible book, we, our shareholders should deserve the same kind of multiples with the peers at least even though we believe our balance sheet will be stronger than that of the peers once we have taken this pause and get to be a stronger company and then keep going and cross the $10 billion mark. So, with that Renee, I would like to request your help in opening it up for questions and answers. But I am sorry, before you do that, Bob Wahlman had received questions from one of you and let us answer that, because we think it’s a pretty damn good question. And so that question was you acquired this business from Higher One and haven’t you had a significant impact on Customers and without this effect of this acquisition, how would Customers’ performance looked? So, Bob would you want to help answer that question?
Bob Wahlman: Yes, sure Jay. I thought it was a good question too and we had looked at that. But the disbursements business added approximately $2 million pre-tax drag on earnings, $900,000 for transaction-related expenses and $1.1 million related to the net pre-tax operating results of the disbursements business acquired in the last two weeks. So, had that drag not occurred, earnings would have been about $0.04 higher, so instead of 60, it would have been 64. Return on assets would have been about 89 basis points and return on equity would have been 13.8%, almost 13.9%. And the efficiency ratio that we have noted earlier would have been about 49.3%. So, pretty much, what’s interesting is when we compare that ongoing bank – second quarter ongoing bank, the first quarter ongoing bank which is what this comparison does. When you compare that to what we have said as our long-term objectives, we would have been pretty much on top of our long-term objectives for the company.
Jay Sidhu: Okay, thank you, Bob. Renee, could you open it up for Q&A please?
Operator: Absolutely. [Operator Instructions] And we will move to our first question. Caller, please go ahead.
Bob Ramsey: Hey, good afternoon. It’s Bob Ramsey, FBR here. I guess if you could talk first about loan growth through the back half of the year. I think previously you guys had sort of guided to 5% to 10% loan growth for all of 2016 and you have exceeded those numbers at this point. Does the portfolio stay flattish from here or do you think there will be some contraction in the mortgage warehouse given the seasonality in that business or how should we think about it?
Jay Sidhu: I think Bob I will take that first and then please Bob Wahlman if you want to add anything to do it. We are at almost $9.7 billion right now. We are not going to cross the $10 billion mark, sometime earliest would be sometime in the second half of 2017. So it will be prudent for us to manage our asset growth through our loan growth in the second half of this year and also in the couple of quarters of next year. So we expect that mortgage warehouse business should remain strong because of the slope of the curve. So you should expect that portfolio at September 30 to be pretty close to where it was at June 30. On an average it should be pretty close to where it was in the second quarter and maybe even a little bit higher. C&I business, we expect that to be adding to our loan growth and we expect of our multi-family and our commercial real estate portfolios to be flat or even slightly lower over the next two quarters. We are not emphasizing that business as much right now but we are building our franchise related business as well as improving our interest rate risk for the – in this kind of uncertain environment by putting only short-term assets on our balance sheet and getting even medium-term assets deemphasizing those on our balance sheet and staying somewhere between $9.7 billion to $9.85 billion over the next four to five quarters.
Bob Ramsey: Okay. What about – talk a little bit about multi-family loan sales, it looks like you guys didn’t have any this quarter, I am just curious why that was the case given the amount of growth you had I would assume like an obvious valve to sort of let off some of that excess?
Jay Sidhu: Bob we manage the balance sheet by looking at the seasonality of our different portfolios and the market was flooded with sales of multi-family loans due to a competitors’ acquisition of another company. So we are also very disciplined whereby when we saw the flatness of the curve our multi-family loan portfolio is an extremely valuable portfolio as I have shared with you where its nothing at all which is delinquent and in the 60s loan to value ratio and with our debt coverage ratio of 1.5%. So if anything we will be opportunistic and if we see opportunities to sell our – some of the multi-family portfolio in the second half we will take advantage of it. But we are not counting on that in any of our forecast.
Bob Ramsey: Okay, great. I guess last question and I will hop out, but given that full quarter benefit next quarter from the new student loan disbursement business, any direction you can sort of point us to in terms of fee income and expenses on a consolidated basis?
Jay Sidhu: Bob as Bob Wahlman mentioned to you this is a seasonal business, so we will have a very, very slow July and August. But we will have somewhat of a decent September and it will be the fourth quarter that we will start to see our non-interest income revenues really go up. So we expect a small loss net-net from this business in the third quarter. And you will see this business reach a much better levels of performance and more normalized performance. We would rather have you give us a chance to share with you over the next couple of quarters the segment reporting. And I think it will become very clear to you what is the power and the normal seasonality over here rather than us guessing absolutely correct.
Bob Ramsey: Okay, great. Thank you, guys.
Operator: Thank you. We will take our next question. Caller, please go ahead.
Mike Pareto: Hi, good afternoon. It’s Mike Pareto from KBW.
Jay Sidhu: Hi Mike.
Mike Pareto: Jay, maybe a quick follow-up to Bob’s question, so I appreciate the seasonality on the revenue side, but if we think about the expenses with the Higher One acquisition, are they pretty much more evenly spread out over the year and with this kind of run rating this $3.2 million, I know it was only for a couple of weeks, but is that kind of the right ballpark number to use as we think about the expenses coming on for a full quarter?
Bob Wahlman: Let me take that one Mike and it’s we are still learning, right. It’s still early days, but this – the business really – the business expenses break down into two separate components. One is the fixed costs component and the other is the variable costs component. And the variable costs component is probably about two-thirds of the total costs. So what you will see is probably about half of the total costs. So what you will see in the quarter or in the third quarter was I think that you will see the – let me I am struggling a little bit with the answer here.
Mike Pareto: No. That’s actually already helpful so I mean there is still some seasonality in the expenses?
Bob Wahlman: There will be seasonality in the expenses because as the environment. Yes. It will be variable driven fees.
Jay Sidhu: So I think on an annualized – on an average on an annualized basis Mike you should expect between $4 million to $5 million a month of non-interest income flowing through our income statement. So we are talking about $12 million to $15 million low would be – on low month might be closer to – please don’t hold that’s exact as Bob said. We want to be…
Bob Wahlman: Low would be low and the high will be greater than $15 million. But you say average is $5 million among which is $15 million close to $60 million in non-interest income from this business, I think that would be a fairly good number.
Mike Pareto: Okay, I appreciate. I just want to make sure there was seasonality on both sides, I was capturing that accurately…?
Bob Wahlman: And Mike I just want to add one point, I mean one thing that makes us very more difficult to do than we would normally see in an acquisition is because the Department of Education rule changes and business strategy changes, it’s changing so many things. We are still learning.
Mike Pareto: Right. And so I mean did the transaction closed on June 15, I guess sort of looking at the period end balance sheet how – are all the I think it was $250 million deposits those were not incorporated – it didn’t look like those were incorporated on the quarter end balance sheet, I mean I guess am I missing something there?
Bob Wahlman: Yes. Mike, there were deposits of this business were held at two banks. One is Customers Bank which had about $250 million of deposits at June 30. They were already under Customers Bank’s balance sheet. The second set of deposits were held at WEX Bank and WEX Bank deposits at June 30 were approximately $300 million. They had a little bit greater share. What we are doing this quarter is we are continuing to service for WEX Bank. Those deposit relationships that they have had we are not going to service those beyond this quarter. We have informed those customers that and we are giving the choice to those customers to do what they would like to do whatever is their preference. I mean if their preference is to get a check from us we will send that check. If their preference is to take the best check-in account available in America, we will let them take that preference.
Mike Pareto: So the other piece of the deposits will still come over whatever percent retention you have of that $300 million will hit the balance sheet in the third quarter?
Bob Wahlman: Into latest early fourth quarter.
Mike Pareto: Okay. Thanks for this help. So, maybe switching over on the question you guys got I guess via e-mail about the legacy bank kind of performance and just want to maybe zero in on the 89 basis point ROA. As you guys kind of think forward there is going to be some capital building and obviously there is not much more capacity from a balance sheet perspective just given kind of the smaller percentage of securities you already have, what do you think is needs to happen for you guys to kind of bridge the gap between the current ROA and the 1% that you guys are just shooting for over time?
Jay Sidhu: I think like our belief is what we had told you is that within a 2-year to 3-year period we will get there. We have a very high confidence level of getting there and the wave through that would be it will be much – a little more cleaner it will be noisy over the next three to four quarters because of seasonality of BankMobile Technologies and the one-time deal costs that will be flowing through for us off as Bob mentioned that $8 million to $12 million, all that will be behind us once we get to the end of the second quarter next year. So it will start to see the normalization of our bank, it is possible that we got to that level once BankMobile Technologies is profitable which we expect it to be in no later than middle of next year. Second thing is once BankMobile Technologies is separated from Customers Bank as such and is an independent company that we expect within 12 months after that we would be operating at a 1% ROA.
Mike Pareto: Yes. And I guess that’s maybe let me ask the question a different way. So, I guess just isolating the legacy banks, so I understand that BankMobile will certainly be a little bit of a drag here for the next 6 to 12 months, but as you look at just the legacy Customers Bank now to when you guys spin-off BankMobile and expect to be at the 1%. What are some of the things you guys think are key to achieving that? Is it just becoming more profitable with each individual customer relationship? Is it more broad-based expense kind of scaling up on your fixed expense infrastructure or I mean anything else that maybe I didn’t mention?
Jay Sidhu: No, I think what I shared with you which is the scalable infrastructure you know as you start to build your organic growth, we already have the expense infrastructure that we built in also for the $10 - $10 billion and higher bank, we have already gone through preliminary deep-fast analysis. We have already gone through preliminary capital plannings which I shared with you in very much detail. We have done our stress testing for the deep-fast. We think it will only crossing the $10 billion for us might cost us only $1 million to $2 million to maybe a max of $3 million unlike other companies costing them greater than $10 million. So, we have our models and when we share with you that combination of building its positive operating leverage, building your revenues faster than your expenses having a scalable infrastructure in place is what’s going to do, what’s going to get us to a 1% ROA. There is no magic to it. And we think that will happen within one year after divestiture of BankMobile.
Mike Pareto: Great. Thanks, Jay. I appreciate it.
Operator: Thank you. We will move to our next question. Caller, please go ahead.
Frank Schiraldi: Hi, guys. Frank Schiraldi from Sandler O'Neill. Just a couple of questions. Under the disbursement business, Bob, what is the $8 million to $12 million in additional expense, is that part of the payout for Higher One?
Bob Wahlman: These are such things as card issuance cards, because we will need to reissue all the cards, because that will have the different – as the processor bank will be different and you know there is over 2 million cards to be issued. It’s a lot of cost. There is the retention bonuses that we have in terms of stabilizing the employee workforce and our team members up with the company. And then there is also the transition services agreement and then there is an assortment of other – what we would call one-time cost that would come through there.
Frank Schiraldi: Okay. So, you just look at it as merger – merger – one-time merger cost and that will flow through the P&L?
Bob Wahlman: Yes, it will flow through the P&L.
Frank Schiraldi: Okay.
Jay Sidhu: And then just like it flows through to our P&L this quarter.
Bob Wahlman: Yes. We have no discontinued operations, Frank, so there is no one-time discontinued operations adjustment. You often time see in acquisitions, because we picked out only what we wanted. So, these will be cost on a going forward basis.
Frank Schiraldi: Got it. Okay. And then the expense that you note for those two weeks related to the disbursement business that wouldn’t include sort of BankMobile expense that would be separate, right?
Bob Wahlman: The BankMobile’s expenses are not included in that number. They are a separate number.
Frank Schiraldi: Okay. And then just finally, I just wanted to make sure I understand. So, as you look at – think about BankMobile and divesting of that business at some point, would you say your customers is likely to cross over the $10 billion asset threshold prior to that divestiture?
Jay Sidhu: Frank, we are not dumb. That will cost us $40 million if we do that and you know that too. So, we are not going to cross the $10 billion mark till BankMobile is divested.
Frank Schiraldi: Okay, okay. That didn’t make sense to me. And then just finally on the TCE ratio, at your Investor Day, I think part of the presentation you talked about a 7.4 TCE ratio about there by the end of 2017. Is that still, I am assuming that’s still sort of a reasonable target you think you can get to sort of just internally by a controlling balance sheet growth?
Jay Sidhu: I think Frank, as we shared with you our TCE target is greater than 7%, so that’s consistent with that.
Frank Schiraldi: Okay. Okay, thank you.
Operator: Thank you. [Operator Instructions] And we will take our next question. Caller, please go ahead.
Bill Dezellem: Thank you. It’s Bill Dezellem at Tieton Capital. Couple of questions. First of all, relative to that $8 million to $12 million of cost from Higher One, two things, is that going to be spread out somewhat evenly over the next four quarters or will it be something different and if so would you share that with us? And then secondarily, are you going to be breaking those numbers out for us so we will be able to calibrate them?
Bob Wahlman: I answer the second question, first. Yes, I think we will break them out as part of our segment disclosure or discussion in regards to segment disclosure. In regards to the first question, it’s going to be as it relates to the TSA expenses that will be spread out over the full 12 months, bonuses will probably be mostly rear-end loaded and then the card issuing cost will be more upfront.
Bill Dezellem: Great. And then I would like to shift if we could to the $1.3 million that you do not see how you are going to owe the FDIC, that reduction. Would you talk through the dynamics of what lead to that, please?
Bob Wahlman: Okay. So with the FDIC, we have entered an agreement, signed an agreement it was done after June 30, but you know we still have the cash flows to estimate and we know what the cash flow estimate was going to be as of June 30. So, we did figure that into the agreement. And so we have a $2.2 million accrual at this point in time and the amount that we agreed to pay the FDIC upon conclusion was $1.4 million. So, that’s an $800,000 difference there. The additional $400,000, $500,000 that you are referring to that when you said $1.3 million, there is a second component piece of that and that is some of these loans that we have purchased are accounted for in accordance with the old account standard SOP 03-3 and that’s also based on cash flow expectations. And as we go forward there what we are finding is we have a good estimate, a conservative estimate. And from time-to-time, we do make collections on loans that we were not anticipating and those cash flows just flow through to the P&L. So, there is another $400,000, $500,000 that came through this period in regards to the 03-3 in addition to the FDIC settlement.
Bill Dezellem: And just to make sure I heard that last part correctly, you are collecting more on those loans than you otherwise anticipated and that’s why that additional $400,000, $500,000?
Bob Wahlman: That’s correct.
Bill Dezellem: Great, thank you.
Operator: Thank you. We will take our next question. Caller, please go ahead.
Steve Emerson: Steve Emerson, Emerson Investment Group. Please give us an update. Hi, give us an update please on Reliance India divestment efforts?
Jay Sidhu: Okay.
Steve Emerson: And also if there are any discussions going on with the Philadelphia Fed which would finally enable you to purchase a bank charter for MobileOne, perhaps some flavor for the status?
Jay Sidhu: Okay. Steve, as far as the Religare investment is concerned, I think we had shared with you that we are going to be looking at evaluating this by – till the end of this year. And we are still very confident that either will be out of it or we will have some kind of a BankMobile related partnership. And as a result of that which we will only do that if we believe it’s going to be very beneficial to BankMobile and that will become more of the BankMobile divestiture. So, that’s where we stand on that. And as far as looking at acquiring a banking charter, we are on the process of looking at various options. There is no two ways about it that we are very hopeful that by the end of the year, it will become or into the first quarter, it will become very clear and we will be able to make announcements. We just closed this deal. We are not going to give away BankMobile. BankMobile is worth a lot to our shareholders. We have just taken our time to make sure that we show a few quarters of earnings and income and expense relationships like all the questions that were asked today. We think the valuation is going to be more dependent upon that and that gives us a little more time not to add anymore expenses by having another second bank on our balance sheet for too long. We just want to try to time it, so that it would be the most efficient execution by us.
Steve Emerson: Thank you.
Operator: Thank you. At this time, there are no further questions. I would like to turn the conference back to our presenters for any additional or closing remarks.
Jay Sidhu: Well, thank you very much for dialing in and please give us a call if you have any follow-up questions and have a good evening.
Operator: That does conclude today’s presentation. We thank you for your participation.